Operator: Good day, and welcome to the Netlist Fourth Quarter 2025 Earnings Conference Call and webcast. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mike Smargiassi, Investor Relations. Please go ahead, sir.
Michael Smargiassi: Thank you, Nick, and good day, everyone. Welcome to Netlist's Fourth Quarter 2025 Conference Call. Leading today's call will be Chuck Hong, Chief Executive Officer of Netlist; and Gail Sasaki, Chief Financial Officer. As a reminder, you can access the earnings release and a replay of today's call on the Investors section of the Netlist website at netlist.com. Before we start the call, I would note that today's presentation of Netlist's results and the answers to questions may include forward-looking statements, which are based on current expectations. The actual results could differ materially from those projected in the forward-looking statements because of the number of risks and uncertainties that are expressed in the call, annual and current SEC filings and the cautionary statements contained in today's press release. Netlist assumes no obligation to update forward-looking statements. I will now turn the call over to Chuck.
Chuck Hong: Thank you, Mike, and hello, everyone. In 2025, we strengthened Netlist's long-term strategic position as we made substantial progress across product and IP initiatives. We saw significant improvement in full year financial results, both the top and bottom line, and we ended 2025 with revenue more than doubling in the fourth quarter. Financial performance was driven by strong demand for memory in the second half of 2025 and the strong execution of our sales and marketing teams in delivering the value of our products to customers across key markets. Rapid growth in AI has created a supply-demand imbalance leading to a global memory chip shortage and sharp price increases across all product categories. These industry dynamics are expected to persist through this year and into 2027 when new fab capacity is expected to come online and increase supply of memory chips. In the current environment, Netlist is well positioned to grow its product business. Sales volume for Lightning, Netlist's overclocked and low latency DDR5 line of products, is ramping up nicely in the system integrator market segment. Adding to this, we've completed qualifications at a global server OEM, and they, in turn, are currently in testing with many of their end customers. We anticipate continued growth of our existing customers as well as new customers in high-frequency trading and high-performance computing applications. On the legacy products front, industrial and networking customers continue to require DDR4-based Netlist custom solutions. We will support these customers through 2026 and into 2027 through last-time buy agreements that were concluded in 2025. As AI workloads continue to drive demand for higher performance and higher capacity memory, we are investing in strategic R&D for next-generation technologies. Those include CXL NVDIMM and low-power MRDIMM. We are sampling our CXL NVDIMM proof-of-concept products to Intel and AMD for testing and validation on next-generation platforms. NVDIMM was invented by Netlist over a decade ago, and we are now moving this storage backup solution onto the CXL channel. As DDR5 DIMM speeds continue to increase, MRDIMM and LPMRDIMM are projected to become the primary memory module used in high-capacity, high-performance server applications. Netlist is developing a unique solution in this space. which takes LPDDR5 DRAMs currently used in mobile devices and deploying them in high-end servers via our unique LPMRDIMM design. On the IP front, we continue our defense of multiple favorable jury verdicts. We secured important appellate affirmances of the validity of our patents and expanded enforcement actions covering next-generation DDR5 and HBM technologies that are foundational to AI computing. In December, the ITC or the U.S. International Trade Commission instituted an investigation into Samsung, Google and Super Micro based on the complaint Netlist filed in September. The investigation centers on the importation of Samsung memory products that infringe on 6 Netlist patents: The '366, the '731, the '608, '523, '035 and '087. Each of these patents reads on one or more of the following products: DDR5 memory modules such as DDR5 RDIMM, UDIMM, SODIMM and MRDIMM and high-bandwidth memory, HBM. In 2025, the validity of Netlist's '608 and '523 patents were affirmed by the U.S. Court of Appeals for the Federal Circuit, upholding the PTAB's IPR decisions. As a result, Samsung is not able to challenge the validity of these patents going forward. The ITC has assigned the investigation to an administrative law judge and the procedural schedule has been set. The Markman hearing is scheduled for April and the trial is set to start on November. A ruling in Netlist's favor would direct U.S. Customs and Border Protection to stop Samsung memory products that infringe these patents from entering the U.S. The discovery phase of the ITC investigation will take place over the coming months. In the federal courts, Netlist filed 4 separate actions in 2025 in the U.S. District Court for the Eastern District of Texas against Samsung and Micron and their distributor, Avnet. In these actions, Netlist is asserting newly issued patents covering DDR5 memory modules and HBM for AI computing. They include the '087, '731 and '366 patents, which read on memory products that represent tens of billions in annual revenue for these defendants. In the breach of contract case against Samsung in March 2025, the Federal Court for the Central District of California found that Samsung materially breached the joint development and license agreement Netlist and Samsung signed in 2015. This was actually the third separate time Samsung has lost this case. Samsung filed its appeal -- appellate brief in December, and Netlist will file its brief in the coming weeks. We estimate that the briefing process will be completed this summer with a possible hearing before the U.S. Court of Appeals for the Ninth Circuit before year-end. In other appellate activity, Micron's appeal of the $445 million jury award to Netlist is in the briefing process with oral arguments expected in mid-2027. In the $303 million damages award against Samsung, the appeal has been companioned with the IPR appeals of Netlist's '319, '918, '054, '106 and '064 patents, which were asserted in this case. Oral arguments on these appeals will be heard on March 6, 2026, this Friday in Washington, D.C. Regarding other IPRs in late February, the Federal Court of Appeals affirmed the October '23 final written decision by the PTAB upholding the validity of Netlist's '314 patent in an IPR brought by Micron. Micron has 90 days from the CAFC's judgment to file a petition to the U.S. Supreme Court. This is the third time within the past 12 months that the Fed Circuit appellate court has affirmed the validity of Netlist patents against -- asserted against Micron and/or Samsung. These affirmances of the validity of these patented technologies attest to the Netlist's role as a technology leader in memory subsystems. The '314 and the '508 patent, which was also affirmed by the CAFC are asserted in Netlist's case against Micron in the U.S. District Court for the Western District of Texas, which is currently stayed. Finally, we expect oral arguments before the CAFC for the '912 and the '417 patents later this year. Netlist continues to advocate for the rights of patent owners from meeting government officials to urging Congress to take action on proposed patent reform legislation. In the fall, we provided our comments in support of the Patent and Trademark Office's Notice of Proposed Rulemaking, NPRM. The proposed rules seek to level the playing field between small technology innovators and big tech in the patent dispute process, especially when it comes to IPRs. We will be participating in the upcoming IPWatchdog Conference in Arlington, Virginia at the end of March. The conference will bring together leaders in the intellectual property community and will feature speakers from the USPTO leadership as well as district court judges. I look forward to being part of the panelists discussions. In summary, 2025 was a year of progress for Netlist. We entered 2026 well positioned to build on our success and capitalize on the transition to next-generation memory through our products and IP assets. I will now turn the call over to Gail for the financial review.
Gail Sasaki: Thanks, Chuck. For the 12 months ended December 27, 2025, revenue was $188.6 million, an increase of 28% from 2024. We ended the year with strong fourth quarter performance as revenue improved 121% as compared to the fourth quarter of 2024. Top line results reflect the current industry environment, which Chuck noted earlier, with solid demand from both OEM and resale customers as well as significant price increases, which supported gross profit margin improvement for both the full year and quarter. While we do not formally guide, given booking and shipping for the first quarter of 2026 to date and subject to the visibility we have today, we currently expect total first quarter revenue to show further improvement from the fourth quarter of 2025. Operating expense for the full year 2025 declined 36%, driven by reductions in IP legal fees and SG&A cost controls. We ended 2025 with cash and cash equivalents and restricted cash of $42.1 million compared to $20.8 million at the end of the third quarter with minimal debt. In the fourth quarter, we strengthened our cash position, raising $10 million through a registered direct offering. With a $10 million working capital line of credit and approximately $74 million available on our equity line of credit, we continue to maintain significant financial flexibility and liquidity going forward. As always, we manage the operational cash cycle very carefully as inventory turn improved by 32 days over 2024 and days sales outstanding improved by about a week year-over-year. I would note that we will once again be attending the ROTH Annual Conference in March and look forward to meeting with investors. Operator, we are now ready for questions.
Operator: [Operator Instructions] The first question will come from Jared Osteen with ROTH Capital Partners.
Jared Osteen: This is Jared Osteen on for Suji Desilva. In relation to the current market supply and demand environment, Chuck, can you share your perspective on the current memory supply and demand environment? I know you shared a little bit in the formal remarks. And how much of this is being driven by the transition to DDR5 versus AI capacity driven? And then with the new fabs that have been announced, do you think these are sufficient to meet demand or is more needed?
Chuck Hong: Jared, there's a global shortage of memory chips, really the raw material for all computing hardware really from laptops to mobile phones to servers and AI servers. While we focus mostly on high-end servers, servers for AI, we're feeling the effects of the access to raw material, the shortage of DRAM -- mostly DRAM raw material and some NAND. But on the other hand, the ASPs, the prices of all products that are related to memory have increased significantly. So that is offsetting the lower volumes in supply. And I don't know that any of this is impacted or due to transition to DDR5. A lot of it is driven by AI. I think OpenAI committed to some 40% of the output of HBM over the next few years. But they're not buying that yet. And then you've got commitments to companies like NVIDIA and AMD for HBMs. So that's taking up a lot of the DRAM components that are going into mobile phones and PCs that are now allocated for HBMs. And fundamentally, until there is new capacity, this capacity that's in place has been -- it was a CapEx that was invested some 3, 4 years ago. So there's really not too many ways to increase the overall capacity. It's kind of a zero-sum game. If you allocate more to one segment of the market, you get less on the other side. And until there is new capacity that comes online towards second half of '27, I think all sectors of computing will continue to face this memory shortage.
Jared Osteen: And then to go a little bit deeper into demand and pricing, how do you see the demand environment playing out for the remainder of the year? Do you expect it to be front-loaded as customers grab all the product supply that they can today? And do you think that the significant price increases for memory that we've seen in the past couple of quarters will hold?
Chuck Hong: There's 2 different points -- price points that we look at in our industry. One is the OEM pricing that are to manufacturers from the DRAM manufacturers being sold to computer manufacturers. And then there is the spot pricing, kind of the broker market. So the -- in the last 6 months, the OEM pricing for DRAMs have gone up probably 3 to 4x, the spot market has gone up probably 7 to 8x. So it's kind of unprecedented type of increase. We think most of that price increase will hold through this year, which means revenues for people that are able to secure supply of DRAMs for most people that are in this industry should go up despite the fact that unit supply and unit sales will likely go down for most people. So I think if you're able to secure supply, I think you're in a good position. And over time, if supply becomes an issue, I think it's going to become more difficult.
Jared Osteen: Switching topics a little bit. Now that you have 2 CAFC-affirmed patents, the '314 and the '608, what are the next steps to get the stayed Micron case in the Western District of Texas moving? And is there anything else that might keep it stayed?
Chuck Hong: Yes. I think this case now is open to being unstayed now that the patents have been affirmed by the appellate court. So our outside lawyers will take steps to reopen this case and get it moving again. So it's a legal motion practice that they'll undertake to get the cases -- get this case back open and on track.
Jared Osteen: And then in terms of litigation expense cadence expectations for 2026, it seems like there's a little bit more activity in the pipeline this year with the hearing at the end of this week, some additional IPR deals and ITC in November. How are litigation expenses expected to track in the remainder of calendar year '26 relative to 2025 levels? Any color would be helpful.
Gail Sasaki: I'll take that. So we believe it will be about the same as 2025. As you can see, I mean, even if the Western District of Texas case is unstayed, it won't happen in 2026. So there won't be any court cases in 2026. Obviously, the ITC will be spread out throughout the year, even though the trial is not until the end of the year. But we don't expect expenses to be much higher than 2025.
Jared Osteen: Great. And then my final question in terms of products. How do you see Lightning revenue building in 2026? And what's your visibility into the duration of the process from proof of concept to material order process?
Chuck Hong: Well, we've gone through this process. We're kind of at the tail end of the qualification and validation at the major OEM, our top customer, and they have their end customers. So we're finalizing those validations. We've been -- it's been ongoing for 6 to 9 months. In terms of the system integrator market, we're already shipping in some good volume, and that is ramping up. And the demand in that side of the market is very strong, not just because of the shortage, but people moving to overclock higher-speed DRAMs, both for high-frequency trading and a lot of these applications that require very fast execution, trade executions. So yes, we're seeing good traction, and we look forward to seeing continuing growth of this product line through the course of this year.
Operator: This concludes our question-and-answer session as well as conference call. Thank you for attending today's presentation. You may now disconnect.